Operator: Welcome to the Tyco First Quarter 2015 Earnings Conference Call. All participants have been placed on a listen-only mode until the question-and-answer session. [Operator Instructions]. Today’s conference is being recorded. If you have any objections, please disconnect at this time. I will now turn the call over to Antonella Franzen, Vice President of Investor Relations. You may begin.
Antonella Franzen: Good morning and thank you for joining our conference call to discuss Tyco’s first quarter results for fiscal year 2015 and the press release issued earlier this morning. With me today are Tyco’s Chief Executive Officer, George Oliver; and our Chief Financial Officer, Arun Nayar. I would like to remind you that during the course of today’s call, we will be providing certain forward-looking information. We ask that you look at today’s press release and read through the forward-looking cautionary informational statements that we’ve included there. In addition, we will use certain non-GAAP measures in our discussions, and we ask that you read through the sections of our press release that address the use of these items. The press release issued this morning and all related tables, as well as the conference call slides, which George and Arun will refer to can be found on the Investor Relations portion of our website at tyco.com. Please also note that we will be filing our quarterly SEC Form 10-Q later today. In discussing our segment operations, when we refer to changes in backlog and order activity, these figures exclude the impact of foreign currency. Additionally, references to operating margins during the call exclude special items and these metrics is a non-GAAP measure and is reconciled in the schedules attached to our press release. Now let me quickly recap this quarter's results. Revenue in the quarter of $2.48 billion declined 1% year-over-year on the reported basis. Organic revenue growth of 2% and a 1% benefit from acquisitions was more than offset by a 4% negative impact related to changes in foreign currency exchange rates. Earnings per share from continuing operations attributable to Tyco ordinary shareholders was $0.38 and included net charges of $0.11 related to special items. These special items related primarily to restructuring and repositioning charges. Earnings per share from continuing operations before special items was $0.49. Now let me turn the call over to George.
George Oliver: Thanks, Antonella. And good morning, everyone. We are off to a solid start as we enter the final year of our initial three-year plan as a new Tyco. Although the economic environment in certain regions is shaping up to be a bit more challenging than we had initially expected, the execution of our growth strategy and our disciplined capital allocation position us to accelerate top line growth, expand operating margins, and deliver a strong earnings growth in 2015. Our growth strategy is supported by internal initiatives within our control, driven by our transformation into an integrated fire and security operating company. We have a proven track record of delivering productivity and are beginning to change how we do business by leveraging technology within our direct channel to deliver a sustained growth over the long-term. Over the last two years, we have taken the holding company structure of multiple segments with multiple businesses operating independently with a lot of variation across work streams and processes and have streamlined into an operating company structure. This has allowed us to leverage our depth and expertise across fire and security so that we could simplify our structure, create speed in how we support our customers, free up resources to reinvest in the businesses, and deliver strong margin improvement. We have made significant progress and the Tyco business system has enabled this transformation. As a result, we have a coordinated and aligned strategy that is deployed by business and by region. As we enter 2015, we now have all of our leaders across the company accountable for their total type of performance, not just their individual business units, embracing a one Tyco mindset driven by top line growth supported by continuous operational improvements. We've had a very productive start to 2015 with lots of progress on a number of fronts, including innovation, innovative solutions and M&A, which is summarized on slide 3. As discussed during our recent Investor Day, we have made significant progress in our ability to enhance our service and productivity with the launch of Tyco On, our integrated data and smart services platform. Tyco On provides a set of software-enabled Internet of Things capabilities that enhance safety and security systems using open standards to connect a wide range of intelligent devices, systems and services, enabling customers from small businesses to large multi-nationals to improve their operations. I am pleased to share some examples of how we are delivering differentiated solutions to help address customer needs. First, our ExacTech solution improves efficiency through a service application already in use in our installation and services business. ExacTech allows a single technician to perform fire alarm testing, eliminating the need of a second technician to complete the procedure. By using a mobile application, the technician can test detectors throughout a building and connect remotely to the system's fire panel. In the future, this application will offer cloud enabled the storage and access to testing documentation, providing a more cost effective solution that would appeal to a broad base of customers. Second, we are enabling more complex smart solutions that leverage data from varied devices and systems and apply advanced analytics to reveal insights that lead to better decisions, faster execution, and transformational business outcomes for customers. For example, in over 4,000 retail locations, we are helping retailers tied together data from our RFID tags, video, electronic article surveillance and traffic centers, transforming it into actionable intelligence through our latest release of TrueVue software. With these insights retailers can optimize their inventory management, deliver a more pleasant shopper experience, and maximize revenue. Lastly, we continue to build our global library of system and device integrations. Our integrated solutions platform is now incorporated into our fire detection system certified for European markets. It enables real-time visual verification of fire alarms, allowing immediate and appropriate response and action, providing compelling customer value. In addition to the great progress the team has made, I am very pleased to have Daryll Fogal join our management team as our Chief Technology Officer. Darrell has global responsibility for executing our technology strategy, including the capabilities and operations needed to support the development of products, services, and solutions. Darrell recently joined us after a long career at Honeywell, and most recently Eaton where we he was Chief Technology Officer and Vice President of Engineering for their electrical sector. I am very excited to have Darrell join us in this critical role as we evolve into a growth and innovation company. Turning to M&A, we continue to be very active on the M&A front. During the first quarter, we signed or completed five acquisitions focused on key areas of growth, including a building on our services platform, expanding our presence in growth markets, and growing our product portfolio with all of them strengthening our technology platform. Let me give you a brief summary. Within the UK, we acquired First Choice Facilities, or FCF, which designs, installs, commissions, and maintains a wide range of integrated fire and security solutions. FCF has a strong installed base with a very robust service delivery model, which strengthens our regional footprint and increases are recurring revenue. This acquisition will be reported within our rest of world install and services segment. The remaining four acquisitions are within our global product segment and span across the three platforms of fire protection, security products, and life safety. Within fire protection products, we acquired Shanghai Jindun, a fire suppression products business in China, which complements our organic investments and quickly accelerates our position in a large and expanding Tier 2 market. In security products, we made a majority investments in Qolsys, an IOT developer of the industry's most advanced interactive intrusion platform, supporting life safety, energy management, and other functions. In Life Safety, we acquired ISG Infrasys, a world leader in the design of thermal imaging technology with a reputation for top image quality. Coupled with our Scott brand and customer base, we can significantly leverage ISG's technology. Additionally, within life safety, we signed a definitive agreement to acquire Industrial Safety Technologies, or IST, a leading player in the gas and the flame detection industry. This is the largest transaction to date post separation, and is expected to generate annualized revenues of approximately $140 million. The addition of IST to our life safety product portfolio will bring our customers a full range of safety solutions across both fixed and affordable detection. This acquisition is not only a natural extension of our product portfolio but significantly expands our product offerings within life safety, which can now provide a full breadth of products in flame, gas, and open path detection. IST is a high growth, high profit business with leading technology. We expect to leverage our global sales force and distribution channels to pull through additional IST products. Over time, we intend to expand IST's service footprint which accounts for approximately 25% of its annual revenue. We expect to close the IST transaction towards the end of our second quarter. Altogether, these five acquisitions total approximately $470 million in purchase price, with annualized revenues of $240 million. Subsequent to the quarter end, we signed three additional small bolt-ons for a total purchase price of $45 million, including a service business in North America, a leader in wireless fire detection technology, and a provider of integrated RFID solutions. Together, these three acquisitions are expected to generate annualized revenue of approximately $25 million. For fiscal 2015, we expect these eight acquisitions to add an incremental $175 million to revenue and $0.03 to EPS, excluding the one-time impact of inventory step ups primarily related to the IST acquisition which will be reported as a special item. We still have several nice opportunities in our M&A pipeline which we will continue to work on during the year. These acquisitions along, with the internal investments we continue to make in technology, accelerate our strategic priorities, with a focus on technology platforms that form the foundation of new and innovative solutions, which our direct channel can utilize to solve the problems of our customers. Before we get into the details of the first quarter, I thought I would provide an update on what we are seeing in the significant geographies that impact our performance around the world. Starting with North America, we are continuing to see acceleration in order activity in our earlier cycle fire business. We are also seeing a nice pickup in orders in security, with the first quarter of fiscal 2015 marking the highest install order quarter since separation. It is important to recognize that since separation our North American security business has undergone a significant transformation in strategy and execution. Given recent order activity in both fire and security, we expect our North America install and service business to be a larger contributor to growth in the second half of this year. Turning to Europe, we continue to expect a sluggish environment which continues to bounce along the bottom. Additionally, the added headwind related to the strengthening US dollar is and will continue to put pressure on our businesses. Given our significant restructuring actions over the years, as well as our sourcing and productivity initiatives, we feel well-positioned to continue to expand margins in a relatively low-growth environment. In Australia, we started to see some larger orders come through at the end of our fiscal year, which made us feel somewhat optimistic that we had hit the bottom and would start to see a bit of stabilization. However, the last few months have proven to be more challenging and we are now expecting a mid-single-digit decline in organic revenue for the year, with significant pressure on service revenue. Our team continues to stay close to the market and take actions required to maintain the fundamentals of the business despite the downturn. But in the meantime, this will have an impact on our rest of world install and services results. Turning to our growth markets, we continue to expect double-digit growth in 2015. What is critical in driving this performance is taking the success that we've had in our mature markets, including our depth and expertise, and localizing it so that we can deploy our products and services successfully within these markets. Our organic investments are enhanced by our M&A activity which helps accelerate our ability to develop a local footprint. A perfect example of this is the acquisition we completed this quarter in China, which I spoke to earlier. Let me give you a quick overview of our results for the quarter and Arun will focus on our results for each of our segments. Overall, I am pleased with our start to fiscal 2015. As I mentioned on our fourth-quarter earnings call, the first quarter of fiscal 2014 was a very strong quarter for us, driven by a stronger than normal retail season with a favorable mix. Organic growth of 2% was led by a phenomenal growth quarter in our product businesses which grew 10% organically. Segment operating margin expansion of 30 basis points was slightly ahead of our expectations for the quarter, even after offsetting a 20 basis point headwind related to a labor matter. Earnings per share before special items of $0.49 was at the high end of our guidance and represents a 17% increase year over year. Overall, a solid start to the year. Now let me turn it over to Arun to go through the details of our performance.
Arun Nayar: Thank you, George. And good morning, everyone. You can follow my comments on our financial performance starting with slide 5. Let me start with an overview of our results for the first quarter. Revenue of $2.48 billion declined 1% year over year. As George mentioned, organic revenue grew 2%, led by 10% growth in global products. Within our installation and service businesses, service revenue resumed growth in both North America and rest of world, for a total organic service growth of 1%. Installation revenue was relatively flat year-over-year. Acquisition growth of 1% was more than offset by a 4% headwind related to changes in foreign currency exchange rates. Before special items segment operating income was $326 million, including an $11 million headwind related to changes in foreign currency exchange rates and the operating margin was 13.2%. Higher product revenues and the benefits from sourcing, productivity, and restructuring initiatives were partially offset by a legal charge resulting in net operating margin expansion of 30 basis points. Earnings per share before special items increased $0.07 or 17% year over year. Operationally, we delivered an incremental $0.04 of earnings, driven by strong revenue growth in products, along with continued productivity initiatives. The remaining $0.03 of incremental earnings was primarily driven by the benefit of share repurchases during the quarter, offset by $0.02 related to changes in foreign currency exchange rates and the $0.01 legal charge. Turning to orders, on slide 6, as I've often mentioned in previous quarterly calls, it is important to keep in mind that order growth, particularly in our installation business, is lumpy and can be impacted by the timing of large projects. Orders in the quarter grew 2% year-over-year, with 6% growth in North America and 7% growth in products. Rest of world declined 5% due to pressure in Australia, as well as a tough compare with the prior year. Backlog of $4.8 billion increased to 3% year-over-year and 2% on a quarter sequential basis. Now let's get into the details of each of the segments. Starting first with North America installation and services on slide 7. Revenue in the quarter of $951 million decreased 1% on a reported basis, driven by the weakening of the Canadian dollar. Organic growth was relatively muted in the first quarter as 1% growth in service was offset by a 1% decline in installation revenue. We expect organic growth to increase in the second quarter and accelerate from there in the second half of the year. Before special items operating income in the quarter was $131 million and the operating margin was 13.8%. Operating income included an incremental charge related to a labor wage claim which impacted the operating margin by 60 basis points. Despite unfavorable mix, and the incremental legal charge, the operating margin improved 30 basis points year-over-year, as the impact of these items was more than offset by productivity and restructuring benefits. Overall, orders grew 6% year-over-year in North America installation and services, with installation growth of 13%, driven by a few large orders in security and service growth of 1%. Total backlog of $2.5 billion grew 5% compared with the prior year and increased 1% on a quarter sequential basis. Turning to slide 8, rest of world installation and services revenue of $917 million decreased 6% year over year, driven by a 7% unfavorable impact related to changes in foreign currency exchange rates. Organic growth was relatively flat, with modest growth in both service and installation revenue. Acquisitions contributed 2% to revenue growth, which was partially offset by the impact of divestitures. Before special items operating income was $90 million and the operating margin decreased 80 basis points to 9.8%. The benefits of productivity and restructuring initiatives were more than offset by the mix of businesses contributing to growth, a lower percentage of high-margin service revenue, as well as the negative impact of foreign currency exchange rates. Turning to order activity in rest of world, total orders declined to 5% year-over-year. Service orders increased 3% and installation orders declined 12% compared to 16% install order growth in the prior year. Backlog of $2.1 billion increased 2%, both on a year-over-year and quarter sequential basis. Turning to global products on slide 9, revenue grew 8% in the quarter to $611 million. Organic revenue growth of 10% was driven by strong growth across all three platforms, led by security products and life safety. A 1% benefit to revenue from acquisitions was more than offset by a 3% decrease to revenue related to changes in foreign currency exchange rates. Before special items operating income was $105 million and the operating margin was 17.2%. The 130 basis point expansion in operating margin was driven by increased revenues, favorable mix, as well as the benefit of productivity and restructuring initiatives, product orders increased 7% year-over-year. Now let me touch on a few other items on slide 10. First, corporate expense before special items was $55 million for the quarter. We expect corporate expense in the second quarter to be at a similar level. Next, our effective tax rate before the impact of special items was 17.5% for the quarter. We expect the effective tax rate for the second quarter to be in the range of 17% to 18%. As it relates to share count, we repurchased to 10 million shares for $417 million during the first quarter, resulting in a weighted average and quarter-end diluted share count of 427 million shares. Turning to foreign exchange on slide 11, the US dollar has continued to appreciate over the last several months, putting additional pressure on both the top and bottom line. From our November earnings call to now changes in foreign currency exchange rates have put an additional $0.09 of pressure on earnings per share, on top of the $0.07 of pressure we have previously forecasted. Our 2015 guidance now includes a $585 million headwind to revenue which equates to a $0.16 headwind to EPS related to changes in foreign currency exchange rates. Lastly, I would like to touch on the progress we have made on our restructuring and repositioning plans for this year. To date, we have taken restructuring and repositioning actions resulting in $75 million of charges, and we now expect to be closer to the $150 million estimate we had provided for the year. As these actions are largely related to workforce reductions, the benefits of these actions will be reflected in our results in the second half of this year. We continue to have a strong pipeline of projects that are being executed to simplify our structure and improve operations. Now let me turn things back over to George.
George Oliver: Thanks, Arun. Let's turn now to slide 12 for our earnings guidance for the second quarter starting with the top line. As we move into the second quarter we expect organic growth to accelerate from the 2% we saw this quarter to approximately 3%. Additionally, recent acquisition activity is expected to add an additional 1 point of revenue growth. Given current exchange rates, we expect growth in revenue to be offset by a 6 percentage point or $150 million year-over-year headwind related to changes in foreign currency. Taking these factors into account, we expect revenue in the second quarter to decline approximately 2% year over year on a reported basis. I also want to remind you that the second quarter of last year included a $21 million insurance recovery which was reported within our rest of world install and services segment. If you refer to slide 13, you can see that the insurance recovery benefited the rest of world operating margin by 220 basis points, and benefited total segment margin by 90 basis points. Additionally, this recovery contributed a $0.04 of earnings per share. Looking at the second quarter of fiscal 2015, on a normalized basis, we expect the segment operating margin before special items to expand 50 basis points to approximately 13.5%. Turning to slide 14, we expect operations in the second quarter to contribute approximately $0.05 of incremental earnings year-over-year. Additionally, our expected weighted average share count of 428 million shares in the second quarter is also expected to contribute an additional $0.05 of incremental earnings. This earnings growth is expected to be partially offset by the $0.04 benefit in the prior year related to the insurance recovery and a $0.03 headwind related to foreign currency exchange rates. Taking all of these assumptions into account, we expect earnings per share before special items in the second quarter to be in the range of $0.48 to $0.50, a 4% to 9% increase over the prior year. Compared to a normalized earnings per share of $0.42 in the prior year, this represents a 14% to 19% increase in earnings per share before special items. Moving to our expectations for the full year, on slide 15, we continue to expect organic revenue growth of approximately 4%. However, adjusting for current exchange rates, and including recent acquisitions, we now expect revenue for the full year to be similar to last year on a reported basis. Additionally, we continue to expect the segment operating margin before special items to expand 80 to 110 basis points, excluding the impact of recent acquisitions. While we continue to deliver a strong operating performance, the continued strengthening of the US dollar is putting additional pressure on our results. Our initial earnings per share before special items guidance for the full year of $2.35 to $2.45 has fully absorbed the expected $0.07 headwind related to changes in foreign currency with accelerated productivity and restructuring actions. Current exchange rates have resulted in an incremental $0.09 of foreign currency headwinds which we are able to partially offset with an expected $0.04 benefit from recent acquisitions and additional productivity. As a result, we are updating our full-year earnings per share before special items guidance to be in the range of $2.30 to $2.40, which represents a 16% to 21% increase year-over-year. Thanks for joining us on the conference call this morning. And with that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] The first question is from Deane Dray with RBC Capital Markets.
Deane Dray: Thank you. Good morning everyone.
Antonella Franzen: Good morning, Deane.
George Oliver: Good morning, Deane.
Arun Nayar: Good morning, Deane.
Deane Dray: First question, just for George, right where you left off on the 2015 guidance update. And really appreciate all the detail you've given here on the currency exposures on slide 11. That's going to be a great reference. But my question is, on that $0.04 offset, the benefit of acquisitions and productivity, just give us a sense that I would hope you haven't burned all your contingency or potential upside for that offset there. But where else that might direct you to the higher end of your guidance, that $2.40, what has to work well and go in your favor to be at the high end?
George Oliver: Deane, we've been working, when we provided the initial guidance back in November, we've been working on contingency because at that time we saw a lot of headwind coming at us from an FX standpoint. So, we've been accelerating our restructuring, accelerating some of the productivity initiatives that has given us some benefit in the second half of the year. Arun talked about it in his prepared remarks, that we accelerated some of the planned restructuring in the first quarter and we're going to see some benefits from that. We also have been executing very well on our growth strategy, continuing to execute not only organic growth but also working on the acquisitions. And the benefits now from the acquisitions that we've been able to complete, we now see $0.03 of benefit in the second half of the year. And so we're going to continue to work. As we laid out our plan, we get about $150 million of productivity on an annualized basis that supports the significant reinvestment in growth, while we're continuing to expand our margins 80 to 100 basis points. And I can assure you that we're continuing to work every opportunity to make sure that we'll be positioned to deliver on the updated guidance that we provided.
Deane Dray: Thank you. And then for my follow-up, and this is for Arun, just as a follow-up on that slide 11, I'd be interested in hearing what types of hedging Tyco can or cannot do. I would presume for global products you've got some transactional hedging with forward contracts but not translational hedging? And then in your answer, maybe how does Tyco's foreign domicile structure play into here in terms of what hedging you can or can't do? And then just remind me, I believe your structure also -- you don't get faced with that cash repatriation issue, and just maybe give us that update as well?
Arun Nayar: Deane, let me just talk start by saying that 75% of our business is install and service where our cost structure and the currency of our cost structure is the same as the currency in which we drive our revenues. So, there is a natural hedge in place there and there is no exposure from a currency perspective. The global products, as you rightly pointed out, is where we manufacture in a few locations and ship our products around the world in different currencies. And that's where we have the transactional exposure. And we do hedge that transactional exposure pretty close to 100% across the world in all the currencies. So, we have no de minimis P&L impact from that transactional exposure on our global products businesses. Now, the headwinds that you are seeing relate to translational exposure as we translate the earnings that we have in different currencies into the US dollar for reporting purposes. That translation exposure we do not hedge. If you were to do that, it would actually create an economic risk to the enterprise. Now, one benefit that we have, keep in mind, is our Irish domicile. As an Irish domicile company we have complete access to our cash across the world on a daily basis, unlike a US domicile company which would have to give it in the cash back. So, we do not have to worry about the repatriation of cash which the US domicile companies have to. Now also, just to keep on the subject of FX hedging and exposure, there are obviously other operational things that we take into account as we look at the exposure, the translationary [ph] exposure. Basically, I look at three things. One is pricing. And particularly in high inflation countries, we make sure that our pricing stays ahead of the inflation rate so that the fundamentals of the business remain intact. The second is our supply chain network. We have a very sophisticated supply chain network, led by a big leader in Andrea Greco, and he is constantly optimizing that supply chain to make sure that we are getting the benefits of the currency movements. And the third that George and I had referred to earlier is the cost rationalization. Clearly that's another lever. You saw us pull that lever pretty strongly in the first quarter ahead of the $0.07 headwind that we had initially expected. And that lever stays in place.
Deane Dray: That was great color. Thank you.
Arun Nayar: Thanks, Deane.
Operator: Thank you. The next question is from Julian Mitchell with Credit Suisse.
Julian Mitchell: Thanks a lot. In the rest of world installation and service business, I think excluding currency your EBIT was down around 5% year on year. Maybe just talk about how much of that was Australia. And also what you expect the full-year rest of world margins to do versus last year now? Thank you.
Arun Nayar: Well, Julian, if you look at our year-on-year compare for rest of world, we had a $8 million headwind from foreign currency exchange rates. So, if you look at it, the $90 million that we reported for Q1, that adds up to $98 million, and that's a pretty comparable in dollar terms to what we had last year. As we think about our rest of world business, basically Europe, which is about 50% of rest of world, is, like George mentioned in his prepared remarks, pretty stable. And the fundamentals of the business, the margins are expanding in a very low-growth environment. Australia is where we are seeing deterioration, and a large part of what you see here is really driven by Australia. And the second piece is our growth markets, which is where the growth is coming from. So, growth markets are delivering the growth that we expected but, as you know, our growth markets, the service component in our growth markets is lower than the install component, and therefore the margins in the growth markets tend to be lower. And as they're growing, we expect the service platforms to build over a period of time. But in the meanwhile, it is creating a headwind in terms of the overall results we are seeing for rest of world.
Julian Mitchell: Thanks. Should the rest of world margins expand this year versus last year for the year as a whole?
Arun Nayar: Given the deterioration that George referred to in the Australian market, we expect the rest of world margins to stay more or less flat to prior year.
Julian Mitchell: Thanks. And then my follow-up would be on the overall service business, I think you'd guided for 2% to 3% service sales growth this year Company-wide. I think first quarter was up about 1%. So, based on Australia, do you also think that global number of 2% to 3% for the year will be difficult to hit now?
George Oliver: Yes. We've taken that into account. As we look at our service growth of the 2% to 3%, if you look at it sequentially we're down 2% in the fourth quarter, first quarter we're up 1%. It is absolutely core to our growth strategy. We're making lots of investment in technology, we're embedding that technology in new solutions. And then with that base, that's given us the opportunity to be able to build new services on top of that. And, so, in spite of the headwind in the first quarter we had 50 basis points of service growth headwind because of the Australian decline. Even with that, we are positioned to be able to deliver the 2% to 3% service growth. And that's also helped by some of the acquisitions that we've been able to be successful in completing.
Julian Mitchell: Great. Thank you.
Operator: Thank you. The next question is from Jeff Sprague with Vertical Research.
Jeff Sprague: Thank you. Good morning.
George Oliver: Good morning, Jeff.
Jeff Sprague: Morning. I was wondering if you could just elaborate a little bit more on the nature of what's going on in Australia. And what I mean by that is, I think about sluggish economy I would think that would be hitting install harder than service. But clearly you are intimating or saying outright that it's really the service business that's taking a hit. So, what is actually causing that? Is there new competition? Is there some other change in competitive dynamics?
George Oliver: Yes. Jeff, I'll take that one. It is a big market so let me just give you the fundamentals. About 17% of our rest of world is split somewhat equally between fire and security. The difference here is we've got about 70% service revenue. And, now, as we saw the decline in mining well over a year ago, and that started last year and continued through the year, we saw a continued decline in that space, which was a big vertical segment for us. And then with the impact that that has had on the economy, it's had a more broad-based impact on the other end markets that we support. Now, I thought in the latter part of last year we started to see some green shoots with some of the new projects coming to market that we've been successful in being able to win, but the continued downturn in the overall service segment has been what has hit us here early this year. Now, what I would say is that, when you get into this situation, we do have some undisciplined competitors. And what we do is make sure that we stay focused on how we create value in getting the return for the value that we create. And as we've gone through these cycles in the past, whether it be in Europe and other distressed markets, we come out the other end better, and positioned to be able to accelerate the growth with the investments we continue to make. And so we're seeing now, we're projecting that it's going to be down kind of mid to upper single digits here in Australia. But I can assure you that the work that we're doing locally, in maintaining the fundamentals and the investments we continue to make that will support that business longer-term, it'll be well-positioned to be able to deliver profitable growth.
Jeff Sprague: And then kind of shifting gears maybe to the other side of the coin, the strength in North America, can you provide a little bit more color on anything that jumps out on vertical markets driving that? And maybe a little bit of elaboration on the transition to some strength now or more strength on the security side?
George Oliver: Sure. As you've seen in our orders over the last three quarters, we've seen nice pickup in installation orders in North America. And it's been not just fire. It's been also across security. So, that has been what's been building the backlog and gives us tremendous confidence in being able to now generate the revenue in the second half of the year. When you look at what's driving it, some of the key verticals for us are the commercial space, the institutional space, healthcare, as well as retail. And it's been more broad-based across the end markets that we serve. We see the order rates continuing, which gives us a lot of confidence not only in delivering the revenue. The 3% organic growth in North America for the year, but also continuing to build the backlog that will position to continue to accelerate that growth as we go into 2016.
Jeff Sprague: Is price positive in North America?
George Oliver: We're very disciplined on price across all of what we do. And we're making sure that as we're building fundamentals that we continue to get price for the value that we create with the type of solutions that we deploy.
Jeff Sprague: And then just finally, and I'll move on, on share repurchase, George or Arun, you've got $1 billion left. You're active on M&A but it sounds like near term the pipeline's partially exhausted anyhow. Should we expect you to do something in the neighborhood of $1 billion in 2015 utilizing the balance sheet a little bit?
Arun Nayar: Jeff, the pipeline is by no means exhaustive. We are still looking at a very robust pipeline of M&A activity. You saw the three deals we closed already in Q2. There are others that are near the end point of that process of completing the due diligence, et cetera. So, we are looking at a few other transactions, Jeff. And like I've said in the past, as well, this remains our highest priority. We're going to allocate capital to that. You can see the benefits we're getting even in the back half of this year. But M&A can be lumpy and if these transactions don't come through, we will use the cash that we have to buy back. Now, keep in mind, Jeff, any buybacks that we do in the balance of the year is going to have very little impact on the share count because of the way the calculation works.
Jeff Sprague: Yes. Got it. Thank you.
Operator: Thank you. The next question is from Gautam Khanna with Cowen and Company.
Gautam Khanna: Yes. Thanks. Good morning.
Arun Nayar: Good morning, Gautam.
Gautam Khanna: I was going to ask, at ROW what are your expectations now for backlog progression through the year and just orders by the various offerings, installation versus service? Was this just a tough compare period? But when you look forward does it get better? If you could just comment on what you are seeing.
George Oliver: Yes, we're projecting to continue to build backlog in rest of world. We did have the tough compare from the first quarter of last year where we had 16% install growth and then this year we showed that it was down 12%. We're continuing to build backlog. It supports overall growth of roughly -- originally we said without the downturn in Australia we'd be 3% to 4% growth. We've got backlog that we're building that supports now getting to 2% to 3% organic growth.
Arun Nayar: Yes. And also, Gautam, I'd just like to reinforce the fact that you saw the negative numbers for rest of world here for Q1. But in absolute dollars, our orders have actually increased from Q4 to Q1. So, sequentially, actually, if you look at it, rest of world install orders went up 6.5% and total orders went up 3%.
Gautam Khanna: Okay. That's helpful. And you mentioned you're seeing some undisciplined competition in Australia and you're trying to stick to your own discipline. I just wondered, in that backlog build, are you anticipating any net price erosion or any erosion in the margin that's implied within that? Or should it continue to trend upwards this year?
George Oliver: It starts with staying disciplined to the fundamentals that we've built across the enterprise. And this has been over a number of years. If you look at the work that we did in Europe, as an example, over the last five years, we have taken businesses that were low single-digit profitability. We've got now profitability in the teens. And a lot of that is making sure that we're focused on the right projects, we're pricing those projects accordingly, we're building an install base that then presents the opportunity to be able to accelerate services. When you look at our performance in Europe today, we're gaining share while we're continuing to grow in a tough economy, and expand margins. When we look at the fundamentals in Australia, we're going through a similar cycle, that as the market turns down and there's more pressure around the current business that we have, we stay disciplined in making sure that we create the most amount of value for the customer that we serve; and that through the cycle we come out in a position that we're going to be able to accelerate the progress going forward. And the backlog, the key thing to look at when you look at margin and backlog across the board, we continue to improve the margin backlog. And across the enterprise, we're up roughly 50 basis points year on year in spite of the current environment.
Gautam Khanna: Okay. And one last one and I'll turn it over. At global products, you've had fairly substantial order growth and sales growth for a number of years now. If you look forward, are there any product transitions like we had last year with the Air-Paks or anything else that would slow that product growth or accelerate it as we move forward? Because we are obviously on tougher comps as we move forward.
George Oliver: Gautam, so if you look at our performance in the quarter, what I would say is across the board our three product businesses are executing phenomenally. And even with the pickup of the volume in the life safety business and the Scott business, that only equates to 1% or 2% of the overall volume in the first quarter on the growth. So, across the board we're getting a nice growth and it's across every one of our product segments. And the investments that we continue to make, we're getting good traction with those investments, we're getting good pricing, which then in turn has given us good margins and good acceleration of growth.
Gautam Khanna: So, cCould you quantify what you anticipate the organic to be in this segment through fiscal 2015?
George Oliver: Yes, we're still projecting that we're going to be mid to upper single digits. We're off to a great start. Like I said, the investments we're making we're getting good traction. I think what we're going to see is we've been very successful also completing product acquisitions. With these product acquisitions, when you put these within our portfolio, leveraging our brands and our distribution, we get a natural lift in how we then get additional volume not only on the new product but also the existing product. And, so, we're very excited with the progress we made with acquisitions, what that will do to extend our footprint and extend our portfolio that we'll be able to leverage organically going forward.
Gautam Khanna: Okay. Thanks a lot, guys.
George Oliver: Thanks.
Operator: Thank you. The next question is from Scott Davis with Barclays Capital
Scott Davis: Hi. Good morning, guys.
George Oliver: Morning, Scott.
Arun Nayar: Morning, Scott.
Scott Davis: The labor wage claim line item, the 60 basis points, was that expected? I don't recall seeing that before, to that magnitude. And I don't think you really fully answered Jeff's question earlier on whether you're actually getting price or not, because I would assume that there be some natural inflation that you'd have in your pricing that would help offset that labor on an annual basis.
George Oliver: This was a legacy labor issue that went back past the previous couple of years that's been resolved. As far as pricing, we get on an annual basis about 0.5 points net price across the enterprise. We're seeing that accelerate within the current environment. And that'll be 0.5% to 1% over the year. We're very disciplined in making sure that we are getting the traction on the price, and very sensitive to what's happening with the volatility across the globe.
Scott Davis: Okay. Fair enough. And then the Tyco On, I don't think we've spent much time talking about -- I know you went through it a bit on the investor day, but what does it really mean for you guys and how do we measure it? What I'm asking is, does it mean better pricing, higher margin? Is there a way to measure take rates or is there some other way we can think about your penetration and how your customers are willing to pay more for this service?
George Oliver: What it does, Scott, is we build enterprise software that can be embedded in all of the solutions that we deploy, that gives us tremendous opportunity to expand the type of service that we provide. And I'll use a couple of examples. In the retail space, with our TrueVue software, now with the enterprise software that we're deploying, the capabilities that we're creating, our new release with our store performance solution software is going to enable our TrueVue suite to operate mobile devices with our customers, at the retail customers. This will now enable them to improve productivity of their store personnel with that type of solution. It's the enablement of that that is creating additional service and then, with that, additional productivity for the customers that we serve. Another good example is ExacTech which we talked about. Not only does it enable us to be much more efficient with how we perform the service, but the capabilities that we create with the data that we extract, and then the analytics that we apply to that data, gives us a new service that we can offer to our customers to be able to grow the top line. And then on the integrated solutions, when you look at fire and security equipment that's deployed across any one of our customer base, the ability to be able to integrate that in an efficient manner, collecting data and then being able to again apply analytics, that it gives us additional services to offer, is what enables that. And, so, it's not a standalone product that you would see revenue on but it's supporting our ability to be able to accelerate the deployment of our technology and then build new services on that technology that will accelerate our growth. And that is why, when you look at our growth, when we project growth in service, we're in the early stages of deploying this technology, but the capability that it creates for us to be able to build new services is pretty significant longer term.
Scott Davis: Okay. Sounds promising. Good luck, guys. I'll pass it on.
George Oliver: Thanks.
Arun Nayar: Thanks.
Operator: Thank you. The next question is from Nigel Coe with Morgan Stanley.
Nigel Coe: Thanks. Good morning.
George Oliver: Morning, Nigel.
Antonella Franzen: Morning, Nigel.
Nigel Coe: Yes, thanks. A couple things. Just want to clarify a couple details on the margin guides. You mentioned flat rest of world margins. Is that flat reported or is that flat ex the insurance recovery in 2Q 2014?
Antonella Franzen: For the full year, it was intended to be for the full year it'll be flat as reported.
Nigel Coe: Okay. So 50 bps ex the insurance comp.
Antonella Franzen: Yes.
Nigel Coe: Okay. Great. And then you're talking about the margin expansion same as before but excluding the impact of acquisitions, which makes perfect sense. But what sort of impact do you expect from the acquisitions?
Arun Nayar : What we talked about is the $0.03 of accretion for this year. And obviously, because it's partial year and there are purchase price accounting pieces that go into it, for the run rate we expect it to be more like, it will give us $0.10 to $0.12.
Nigel Coe: $0.10 to $0.12. So, the impact to margins would be about 20 bps or so?
Antonella Franzen: Yes, we'll clearly have some impact on the overall segment margin related to the amortization related to the step-up of intangibles on the stock. And we're currently going through all the valuations. But the biggest significance would be in global products because that's where a majority of the acquisitions are, including the largest one, IST. So, I mean, rough estimate it could have about a 50 basis point impact on margin there, really being driven by the non-cash amortization expense.
Nigel Coe: Right. So 50 bps in products. Okay. That's really helpful. And then just want to go into next level detail on the service orders and the distinction between contractual and non-contractual services. Do we only see the orders for the non-contractual services?
Antonella Franzen: The service order number is all in.
Nigel Coe: That’s all in.
Antonella Franzen: Contractual as well as non-contractual.
Nigel Coe: Okay. So, I'm wondering, what is the lag between installation growth and the service order growth, because I'm assuming that a good portion of these installations come with attached service?
George Oliver: It varies, Nigel, depending on the type of installation that we perform, whether it be a security installation that requires monitoring. It's immediate, we get immediate traction. If it's a fire solution that we install, and then after a warranty period then we pick up a preventative maintenance agreement. It could be two years out. So it varies, it's hard to say. And, so, what we're obviously working to do is making sure that we can embed technology up front within the installations that we perform that then gives us the opportunity to be able to create more value right out of the gate with the customers that we serve. And, so, with the new technology that we've been developing, that's going to help us be able to pick up a higher percentage right after the immediate installation of the solution.
Nigel Coe: Okay. And then just a quick one on the acquisition pipeline. It's been really fertile and it sounds like there's a few more in the hopper. But what's changed? We've clearly seen a big pickup in activity. Are we seeing more active sellers? Are we seeing more associates [ph] to come to the table? Are you being more aggressive internally? Are we seeing bid off spreads narrowing? What's driving that pickup?
George Oliver: So, when you look at our strategy, M&A has been a core part of our overall strategy since we launched the new Tyco. We've been very aggressive in building a pipeline. As you know it does take time to build that pipeline. And, so, over the last two-and-a-half years, a lot of what is coming to fruition now are things that we've been working on, in some cases, multiple years. So, as we are building the pipeline we're obviously in the current environment, we're playing offense. And we think that from a discipline standpoint we're staying disciplined. But these have been very strategic in expanding our technology, expanding our product portfolio, enhancing the services that we can offer, and then helping us accelerate the deployment of our footprint in the growth markets. And if you look at these eight that we completed so far this year, not only do we get a pick up in the second half but it positions us well to be able to deliver on the commitments that we had made in 2016 and then beyond. We're building that base and we're very pleased with the progress we've made. We've got a very robust pipeline. With our Irish domicile we use that as a position of strength and go on offense in making sure that we can get the returns that we need with these types of acquisitions.
Nigel Coe: Okay, so it's more of a timing issue than anything fundamental in the market.
George Oliver: Truly timing, Nigel. We've been very active. When we launched the new company as the industry leader, with the position that we have, we have a tremendous position to continue to consolidate and differentiate with technology. So, it's a combination of consolidate, and differentiate with technology that's positioning us to be able to accelerate growth.
Nigel Coe: Okay. I'll leave it there. Thanks a lot.
Operator: Thank you. Our next question is from Shannon O'Callaghan, UBS.
Shannon O'Callaghan: Good morning.
George Oliver: Good morning, Shannon.
Shannon O'Callaghan: By the way, the earnings release and the slides are significantly improved and really helpful, so thanks for that.
George Oliver: Thank you.
Shannon O'Callaghan: On the North American install orders, obviously we've seen this sharp improvement. Arun, I think you mentioned there were a few large security orders in there, and obviously these things can be lumpy. But what do you think the underlying rate is if you adjust for some lumpiness in large orders? What do you think we are really running at there?
Arun Nayar: I think, Shannon, the way I've talked about it in the past, as well, is a good metric is the backlog. We're saying that the backlog in North America increased 5% year over year. That is probably a best reflection of what the underlying growth is.
Shannon O'Callaghan: Okay. That's great. And then just on the service growth, Australia obviously continues to be -- just when you thought it was down, it's down more. This 2% to 3% service in 2015, is that an organic number or is the Australia pressure offset by the acquisitions?
George Oliver: Yes. We're still targeting 2% to 3% organic. Certainly as we get additional service capability from the acquisitions that helps us because we might not have the capabilities that we need in particular regions to be able to accelerate. We look at it combined but we're still targeting to be in that range from a service growth standpoint.
Shannon O'Callaghan: Okay. And the acquisitions will kick into your organic service growth the next year because you think they'll benefit your service.
George Oliver: Right. It'll be more like next year. Short-term it could incrementally help us here offsetting some of the pressure that we're getting in Australia. But longer term it'll position us very well to be able to accelerate.
Shannon O'Callaghan: Okay. Great. Thanks a lot, guys.
Antonella Franzen: Operator, we'll take one more question.
Operator: Thank you The final question today is from Steve Winoker with Bernstein.
Steve Winoker: Thanks for fitting me in. I appreciate it. Good morning. Just to clarify again, the organic growth for the whole Company going from 2% to 3%, and then implied 5%-plus for the back half of the year, is that all North America? Or how much of that is North America versus the other two units?
Antonella Franzen: North America we expect for the full year to be around the 3% range on an organic basis. Rest of world is around the 2% to 3%, and then products would be in the mid to high single digits.
Steve Winoker: But the acceleration I'm talking about. Most of that sounds still like North America in products.
Antonella Franzen: North America and rest of the world.
Steve Winoker: Okay.
George Oliver : Yes. When you look at North American we pick up, Steve, on the first half of the year it's relatively low on the system, and so it was actually down a bit in the first quarter. We pick it up in the second quarter and then it continues to accelerate in the third and fourth quarter. That's the big impact on the year to deliver on the 3%.
Steve Winoker: Okay. And then if you think about that in terms of the service acceleration that you used to talk about, George, obviously Australia, we've talked about that a lot on the call, is a challenge. But more broadly speaking, are you actually seeing metrics showing traction and acceleration in the service business in pockets of the world that you think you are going to be able to extrapolate to a broader part of the business? What's your sense for that?
George Oliver : Yes, when you look at service historically, it's a segment of the business that we've never had high growth. On the other hand, it hasn't decreased significantly. The investments that we have been focusing on, not only in our product business but now with the enterprise software, is what's going to change the profile longer term. If you look at the investments we're making, so when you look at the R&D increase year on year, it's up about 10%, or it's roughly $35 million, $40 million. There's a high mix of that investment that's building capability so that when we install a system we're going to be much better positioned to be able to create services on top of that system with the enterprise software. So, we don't get the traction, there's not an immediate pickup in short term, but longer term, with the systems that are being deployed, it gives us a much better base to be able to solve customer problems, create value in solving those problems, and then we ultimately get paid through service. The traditional service continues to track with GDP. The acceleration of service will come through the new offerings.
Steve Winoker: Okay. And then just one last one, you've used the UK as a great example of cost saves and other, and customer service benefits, of integrating across the two businesses broadly, fire and security. And that's obviously -- and we're seeing the benefits much more broadly now in this margin expansion. But are there other examples that you could point to that we could understand that are showing that you're getting that kind of benefit elsewhere in the world now?
George Oliver : Sure. I'll give you a couple of examples that are close to home here. If you go to the TIS business in North America, the security business, when you look at the last two years, separating the business from ADT, standing up a separate structure, and then improving margins, we've improved that business by over 400 basis points. And positioned now to be able to be very strategic in how we go to market and build the install base that allows us to be able to then build services. Another good example would be Canada. We have a new leader in Canada. We combined our fire business with our security business, put that together into one structure, and had significantly improved the margin rate as a result. And as a business, that is actually growing as fast as any of our businesses in North America as a result of the work that we've done. We've upgraded the leadership. We put in one structure. We've developed the competencies that are required. And now we are positioned to accelerate as a result Those are two good examples in North America and we have similar examples across the rest of the world.
Steve Winoker: Okay. I'll leave it there. Thanks. That was helpful color.
George Oliver: Thanks, Steve.
Antonella Franzen: I'd like to pass it over to George for some closing comments.
George Oliver: So, just to wrap up, I want to thank everyone again for joining our call this morning. I want to reiterate that we're off to a solid start in 2015. Despite the macro concerns, I've never felt better about how well we are positioned and how our leaders are executing on our fundamentals. This, along with our growth strategy, gives me confidence that we are well-positioned for long-term growth and continued strong returns for our shareholders. On that, operator, that concludes our call.